Sheldon Bruha: Good evening, everyone. Welcome to the Frontier Communications quarterly investor update. I'm Sheldon Bruha, Chief Financial Officer of the company. Joining me on today's call are Rob Schriesheim, Chairman of the Finance Committee of the Board; and Bernie Han, our President and CEO. 
 At the outset, I'd like to inform you that this business update presentation is available in the Webcasts & Events section of our Investor Relations website, which can be found at frontier.com/ir. During this call, we will be making certain forward-looking statements. Forward-looking statements by their nature address matters that are uncertain and involve risks, which could cause actual results to be materially different from those expressed in such forward-looking statements. Please review the cautionary language regarding forward-looking statements found on Page 2 of the presentation. On this call, we will discuss certain non-GAAP financial measures. Please refer to the presentation for how management defines these measures and certain shortcomings associated with these measures. Reconciliations of these non-GAAP measures to the closest GAAP measures can be found in the presentation. 
 I will now hand it over to Rob, who will lead off the presentation of the quarterly business update. 
Robert Schriesheim: Thanks, Sheldon, and thanks to everyone for joining us on today's call. I plan to provide a brief update on our 4 key areas of focus. These include an overview of the restructuring, a summary of critical operational milestones that we've achieved, some comments on the continued strengthening of our leadership team, and then finally, a review of the foundation that is being put into place to ensure that we have a platform for continued value creation as we pursue ongoing priorities. Afterwards, I'll hand it off to Bernie to provide more detail on our go-forward strategy, current results, progress on our various initiatives and a review of successes to date, along with some commentary on the impact of COVID. Finally, Sheldon will cover our Q2 results in more detail. 
 Beginning on Slide 8. We continue to focus on delivering value for our stakeholders through 4 key overarching goals that relate to the financial restructuring and the operational turnaround, which, as everybody knows, are being executed in parallel. First, the Finance Committee is focused on managing an expeditious restructuring process. We, together with the full Board, are working collaboratively with our various creditors and other stakeholders to navigate the bankruptcy and emerge with a recapitalized and delevered balance sheet and as a leaner and more nimble company. Second, we are progressing on our extensive operational turnaround plan. We are focused on a wide array of efforts in all facets of the business under Bernie's leadership, which he will discuss in further detail. Third, we are augmenting our current management team through key hires. And fourth, we are positioning the company for maximum optionality to pursue and refine its strategic plan so as to optimize enterprise value in the coming year. 
 Moving to Slide 9. Let me offer some comments on the positive impacts of the restructuring as well as the process itself. Our plan of reorganization was confirmed on August 21. The plan contemplates the reduction of our total debt stack by over $11 billion and a broad support throughout our creditor classes. We expect to emerge from bankruptcy with net leverage under 2.5x. The plan will result in a reduction in our annual cash interest expense of over $1 billion. As part of the restructuring process, we are currently working to secure regulatory approval from various state PUCs where the company operates. We already have received approval from 6 PUCs and are making meaningful progress with the other PUCs with whom approval is forthcoming. We believe we are well positioned to emerge from bankruptcy early next year once we've received the requisite regulatory approvals. While we've been going through the restructuring process, the team has also been focused on numerous operational initiatives to improve the business as well as refining a strategic framework to pursue an investment program, which, as indicated in our disclosure materials, offers very compelling risk-adjusted returns. 
 As can be seen on Slide 10, the main takeaway that I want to highlight is that the company continues to achieve key operational milestones. We remain focused with ongoing initiatives to stay on track to achieve roughly $125 million of adjusted EBITDA benefit in 2020 and $400 million by 2022. While these initiatives are starting to pay off, as Bernie will discuss in more detail during his presentation, we remain focused on executing the extensive operational improvements underlying the turnaround plan. 
 Moving to Slide 11. We have recently added some key telecom veterans to senior management to strengthen our industry expertise and assist in implementing many of the operational initiatives covered on the prior page. For example, Mike Shippey, our new Head of Wholesale, has been an essential part of our customer reset and repair effort. Our enterprise business is still in development, and Chris Ancell has been leveraging his significant expertise to help us build a brand-new enterprise strategy and enhanced sales force. We believe that the enterprise business has significant upside potential moving forward. Jim Stanley has bolstered our finance team using his analytical skill set to enhance the finance department and has brought in some key talent at the lower levels. In addition to the senior leaders covered on this page, we have brought in a number of hires at intermediate levels to support the team. These hires have already paid off in terms of driving the company's operational turnaround and will serve as the springboard for upgrading talent throughout the organization and ultimately through the leadership ranks. 
 Now turning to Slide 12. We are laying the foundation for the new Frontier to create sustainable value creation over time by addressing the capital structure as part of the financial restructuring while executing on an operational turnaround and creating a platform for value-accretive investment. More specifically and in summary, firstly, upon emergence, we will have a rightsized capital structure that lifts a significant burden which has crowded out the ability to invest. As you can see on this slide, our net leverage will be under 2.5x. We will see a $1 billion or 70% reduction in annual interest expense, and there is further potential to decrease our cost of debt as part of opportunistic refinancing. Secondly, we are executing on an operational turnaround. While it will continue to take time, we have delivered improved results to date through a focus on our product portfolio, customer care, churn, costs and a variety of other elements. And thirdly, we have developed and are refining a strategic framework, leveraging our position in key geographic markets to invest in the business to provide compelling returns while ensuring that we have a flexible foundation to pursue our ongoing priorities. 
 With that summary, let me hand the call off to Bernie, who will go into more detail on our strategy, results and operational initiatives. 
Bernard Han: Thanks, Rob, and good evening, everyone. As we stated a quarter ago, our overall strategy is to transform Frontier from a legacy utility company to a next-generation broadband service provider with a much heavier mix of fiber technology. As Rob touched on earlier, this transformation not only relates to our technology but also to our people and the company culture. Execution against this strategy will occur along 3 parallel paths. First, we are actively working to stabilize and repair the existing business via initiatives that should produce significant EBITDA benefits in 2020 and beyond. Some of these initiatives that we'll cover in later slides have already had positive impacts on areas like customer churn. We have a long list of initiatives to be deployed going forward that will continue to repair our existing business. Second, we plan to maximize our potential for fiber investment by evaluating and planning new fiber builds across our consumer and commercial segments. We are working to repair our relationships with key wholesale customers to make that segment a platform for network modernization. We have also applied to participate in the upcoming RDOF program and believe that it can help us. Third, we will continue to analyze and potentially reconfigure our asset portfolio to maintain upside opportunity. And as we consider and prioritize various opportunities for network investment, we plan to evaluate innovative capital structure options to allow us to do more. 
 If we move to Slide 15, I want to highlight a few results from the second quarter that Sheldon will review in more detail later. In this period, we generated positive fiber net adds for the fourth consecutive quarter. Our churn fell to 1.63%, which is both an improvement quarter-over-quarter and year-over-year. During the quarter, we successfully divested 4 Northwest states with net sale proceeds of $1.1 billion. As Sheldon will discuss in more detail, we generated $1.8 billion in total revenue, roughly $1.75 billion of which came from the 25 states that remained after the sale of the Northwest operation. These remaining states generated $703 million in adjusted EBITDA. 
 Moving on, I'll now take you through some detail about our initiatives, beginning with our commercial segment on Page 16. This customer segment was in effect acquired by Frontier with the CTF fiber territories in 2016, and since the acquisition, it has underperformed and has not realized its full potential. Turning this segment around starts with reorganizing the staff according to the size of customer, type of customer, new versus existing opportunities and geography. Within this structure, there will be a much greater attention placed on existing customers with the objective to reduce churn and migrate customers from legacy to modern products such as Ethernet, SD-WAN and UCaaS. On the new customer side, the goal is to increase productivity by using better sales information and to target prospects intelligently with an emphasis on multi-location opportunities and on-net building. As we seek to significantly improve our performance in this segment over the long run, we, like others, have been seeing short-term negative impacts to net activations resulting from COVID. 
 Next, I'll move on to our wholesale segment on Slide 17. The key here has been to build trust and open communications with our key customers to be more collaborative and to operate with a long-term view towards our partnership. We are focused on making it much easier to work with Frontier via better tools and more streamlined processes.
 On Slide 18, I want to update you on our brownfield fiber-to-the-home pilot. As you may recall, we are aiming to have up to 60,000 new locations converted from copper to fiber by the end of the year. We are off to a good start with over 40,000 locations already engineered and over 1,000 locations already built. While engineering and construction are important to this initiative, the ultimate key to success will be how well and how quickly we can penetrate the new builds with new customers and upgraded copper customers. Our goal is to use this trial to learn and to improve on all of our processes from analysis to design to construction and customer acquisition and then to leverage these learnings to larger opportunities beyond 2020.
 Moving to Slide 19. Over the past several months, we have worked extensively to quantify the opportunity for brownfield fiber overbuilds across our entire footprint, and we have concluded that these opportunities are significant. We estimate that there are 2.5 million to 3 million homes with IRRs above 20%, 5.5 million to 6 million above a 15% IRR, and 8.5 million to 9 million above a 9% IRR. If all 9 million locations with the 9% or greater IRR were hypothetically pursued, the fiber mix in our footprint would increase from 20% today to 80% to 85%. As we move forward with actual build-outs in our trial and beyond, we'll obviously calibrate our projected economics with actual performance, prioritize based on what is working the best and continue to analyze trade-offs between investment opportunities based on returns and capital requirements.
 On Slide 20, we talk about some network opportunities beyond brownfield fiber-to-the-home. An alternative to converting existing copper locations with slower speeds to fiber would be to upgrade them at a much lower cost to higher copper speeds, which could support common user needs today such as streaming and gaming. As with fiber, the key to these opportunities is how well and quickly we could acquire and upgrade customers and thus provide a return on investment. We are currently undertaking analysis to examine the economics of a copper upgrade in absolute and versus a fiber build-out. We have also identified approximately 100,000 fiber locations which can only provide DSL-like speeds today. We are in the process of converting these locations to gigabit speeds via hardware upgrades at an average cost of $80 per location and plan to complete this upgrade by the end of 2020.
 Moving on to products on Page 21. As a quick reminder, the origin of our company was in voice, and voice still makes up a significant part of our revenues today. That contribution, however, has been shrinking as technologies have evolved over time. Similarly, TV was a big part of the strategy for us and for other telecom companies for many years as we competed via the bundle or the triple play. As with voice, TV service is declining as it moves quickly towards over-the-top delivery, inviting more and more competition as it does so. This increased competition, in conjunction with the ever-growing high cost of content, has made the economics of video distribution a marginally profitable business at best. As such, we look at ourselves first and foremost as a data or connectivity company, and we need to focus on being great at that. Other services such as TV, voice and security will continue to be sold but primarily as add-ons to secure the broadband customer. As broadband, TV and voice move forward in different directions, we're working to decouple our bundled pricing and offers to provide flexibility going forward as well as to help with our customer service and operations. Within broadband, TV and voice, we're also working to simplify our product offerings, which will help focus our operations and improve our service delivery.
 A little more about video on Slide 22. While we continue to offer video service, we have been taking necessary steps to improve the economics. We increased TV pricing late last year, and the bundle decoupling that I just talked about will effectively increase it some more. On the cost side, we have been more aggressive with negotiating content renewals to keep our COGS from growing as quickly. Furthermore, we are now far more willing to make the difficult decision to drop channels entirely if they cannot provide value to our customers that is greater than our cost. As you may recall, we originally paused video sales during the early no-contact days of COVID. We have kept media sales and spend in since as we worked to improve our economics and as we saw a lesser impact on broadband sales than we expected. With the changes to pricing costs that I mentioned, we intend to resume selling video service again sometime later this month.
 Turning to Slide 23. I want to talk about initiatives related to customer service and retention. When it comes to customer retention, the keys to reducing early life cycle churn are targeting higher-quality customers at acquisition and improving business rules and practices related to selling. The key to reducing churn slightly later in the customer life cycle, in other words at promotion roll-off, is some smarter pricing and new customer offers that I mentioned earlier. And the keys to reducing churn beyond promotion roll-offs are offering great customer service. This is the part of the life cycle where the bulk of our customer base resides and our biggest opportunity to add enterprise value. While we still have a lot of heavy lifting ahead of us, we're starting to see some improvements in our customer experience both in internal tracking and in third-party surveys. Correspondingly, while some of our churn improvement this year has been driven by COVID and industry trends, our customer service and churn initiatives are clearly contributing to our churn performance. While we're pleased with our early results, there is much more work ahead of us than behind us, and the mentality of the leadership team is to focus on what's ahead. 
 Finally, on Slide 24, I would like to provide a quick update on COVID. From the onset, our priority was and has remained the health and safety of our employees and our customers. Over the past few months, we've made numerous changes to our work environment, to our technician supply provisioning and to our practices and policies to ensure that we deliver on this objective. Along the way, we created new treatments for customers enduring COVID hardship via the FCC Keep America Connected pledge and other similar programs. As for many organizations, the overall challenge of operating through COVID has resulted in some operational improvements. Most noteworthy for Frontier are some efficiencies gained in installing high-speed Internet service through better practices and new technology. Some of our early concerns about bad debt related to these difficult times have turned out to be unwarranted overall for our customer base. The lasting impact on the business side that we're keeping the closest watch on is the lower activation activity and elevated churn in our commercial segment. This has been driven by businesses suspending, downsizing or ceasing operations entirely. It remains to be seen how long this will last and how much of lost revenues we'll recover down the road.
 And that concludes our operational update. I will now turn it over to Sheldon. 
Sheldon Bruha: Thank you, Bernie. I will update you on our second quarter financial performance as well as review our capital structure given the recent bankruptcy court confirmation of our plan of reorganization. Please turn to Slide 26. As a reminder, we closed the divestiture of the Northwest operations on May 1. As such, the quarterly results for Q2 include the performance of the 4 Northwest states for the month of April and then only the remaining 25 states for the months of May and June. This slide presents our consolidated reported results with such hybrid view. On subsequent slide, we adjust the historic periods to exclude the performance of the Northwest operations so you can see the underlying performance of the remaining properties. As such, I will discuss the company's operating performance on the following slide, where such appropriate apples-to-apples comparisons can be made. 
 Consolidated net loss was $181 million for the quarter, but this loss was impacted by several nonoperational items. First, we had $91 million of costs for banks, lawyers, advisers and consultants related to our balance sheet restructuring and bankruptcy filing, some of which sits within operating expenses as restructuring costs, some of which now sits below operating expenses post our bankruptcy filing in a new category called reorganization items. Second, we had an $85 million charge for the write-off of deferred financing fees associated with our unsecured debt, which was triggered by our bankruptcy filing, which also sits in reorganization items. Third, the high level of lump-sum pension payments in the first quarter triggered pension settlement accounting not only for Q1 but for Q2 and the remainder of the year, which resulted in a charge of $56 million to net income in Q2. And last, we recognized an additional $136 million loss on the sale of the Northwest operations, which was largely attributed to the estimated pension and OPEB liabilities that transferred to the buyer. As I indicated last quarter, Frontier has approximately $57 million of Northwest divestiture proceeds held in escrows related to the finalization of these pension and OPEB calculations as well as related to certain contract indemnities and the finalization of the working capital calculations. We expect these escrows will be resolved within the next 12 months.
 Please turn to Slide 27. Now looking at the performance of the remaining properties, second quarter revenue was $1.754 billion, down 8% year-over-year driven by customer declines, including a 6% decline in total consumer customers, a 5% decline of broadband customers and a 20% decline in video users. 
 Looking at the components of revenue. Data and Internet services revenue was down $36 million versus prior year driven primarily by copper broadband customer losses, which declined 9% during the year, and by declines in wholesale legacy circuit revenue and wireless backhaul. That said, versus the prior quarter, data and Internet services revenue is much more stable. Our fiber broadband revenue and customers were essentially flat over the last 12 months as our customer base has recently been growing with the introduction of our high-speed data offerings and churn reduction efforts. In fact, Q2 represented our fourth consecutive quarter of positive fiber broadband net adds. Voice and video services revenues declined at double-digit percentage rates versus prior year. Voice revenue declined 12.5% consistent with the decline in Q1 but higher than Q3 and Q4 declines. The higher rate of decline in Q1 and Q2 was partially attributed to the lower FCC-mandated USF rates during these quarters. The decline in video revenue reflects not only the industry shifts to over-the-top but also the impact of our strategy to deemphasize video attachments on broadband sales and improve customer value.
 Looking at the view of revenue by customer type. Consumer revenue was down 9% year-over-year, reflecting the trends of copper broadband, voice and video that I just mentioned. Commercial revenue for the quarter declined $71 million over the last 12 months. About 65% of this decline was related to our retail segment and 35% was from our wholesale segment. The declines in revenue were partially offset by our expense management. Our expenses were down $83 million over the last 12 months related to lower content costs and compensation costs primarily in our field operations. In terms of compensation costs, we ended the quarter with about 2,500 fewer employees than last year, a 13% reduction in the workforce. Our solid operating expense performance in the quarter was in spite of incurring over $10 million of costs associated with the abandonment of certain in-progress capital projects during the quarter. Second quarter adjusted EBITDA for the remaining properties was $703 million for an adjusted EBITDA margin of 40%, a slight increase sequentially.
 Now turning to Slide 28. Cash CapEx in the second quarter was $225 million. Cash CapEx was low in the quarter for a couple of factors. First, our cash CapEx payments were impacted by the nonpayment of prepetition CapEx invoices due to our bankruptcy filing. We estimate that cash CapEx was approximately $75 million lower this quarter due to this factor. Secondly, we continue to have lower customer CapEx due to lower customer acquisition activity in the quarter. We have seen lower level of customers in play across our footprint, which is driving lower gross adds but also lower churn, so little to no impact on our net adds. So we are attaining similar customer levels without the incremental acquisition costs. In terms of specific projects, we continue our build-out for Connect America Fund, or CAF, with builds completed to 594,000 locations as of the second quarter. In addition, as a normal ongoing element of our capital spend, we built fiber to almost 12,000 greenfield locations in the quarter and almost 20,000 year-to-date. These are primarily housing developments within our footprint and are on top of the over 30,000 locations we built in 2019. And as first announced last quarter, we are planning to pass an incremental 60,000 households with fiber in 2020, targeting high-return areas across our footprint. We expect to spend $50 million to $60 million in incremental CapEx related to this footprint expansion, and as of August 25, we have completed 1,200 of such households.
 On Slide 29, we looked at our year-to-date performance against the base case included in our disclosure statement initially filed with the courts on June 17. We are tracking well with both our revenue and adjusted EBITDA for the first half of the year exceeding the disclosure statement case. Revenue was $11 million better versus planned driven by lower customer churn levels, and adjusted EBITDA is $15 million better, where we are seeing some additional cost benefits from lower gross add activity.
 Moving to Slide 30. As Rob discussed earlier, our plan of reorganization was confirmed by the bankruptcy court on August 21. The key components of the organization plan is the following: First, over $10 billion of our unsecured notes will be equitized. The unsecured bondholders will also receive up to $750 million of take-back debt. Second, debt will further be reduced by the repayment of our prepetition revolver, which will occur upon court approval of the DIP motion currently scheduled for mid-September. Finally, the remaining unrestricted cash above $150 million, subject to certain adjustments, is to be distributed to the unsecured noteholders upon emergence, which we expect to occur in early 2021. As a result of this reorganization, Frontier expects to emerge from bankruptcy with a material deleveraged balance sheet and ample liquidity to pursue operational and strategic initiatives. Our pro forma emergence net leverage will be 2.3x, among the lowest in our industry. Also, in August, we have secured $165 million of additional commitments for our emergence revolving credit facility, increasing the size of this facility to a total of $625 million. The reorganization plan will also result in a reduction of interest expense of approximately $1 billion from pre-bankruptcy levels. Furthermore, we are actually considering opportunities to reduce this interest expense even further by refinancing some or all of our reinstated debt given current market conditions. Such refinancing could be in the form of new secured notes or new secured term loans.
 This concludes our presentation. I want to thank you for joining today's call, and we look forward to updating you on our continued progress next quarter.